Operator: Good morning my name is Scott and I will be your conference operator today at this time I would like to welcome to the Vistra Energy 2016 webcast and conference call [audio gap] investor call presentation, our 2016 annual report and the related earnings release. Joining me for today’s call are Curt Morgan, President and Chief Executive Officer, Bill Holden, Executive Vice President and Chief Financial Officer, Jim Burke, Executive Vice President and Chief Operating Officer and a few additional senior executives available to address questions in the second part of today’s call as necessary. Before we began our presentation, I encourage all listeners to review the Safe Harbor Statements included on slide one and two which explain the risk of forward-looking statement in the use of non-GAAP financial measures. Today’s discussion will contain forward-looking statements which are based on assumptions we believe to be true as of today’s date. Slide one highlights certain factors that could cause actual results to differ materially from those projected or implied by forward-looking statements. Further, our earnings release, slide presentation and discussions on this call will include certain non-GAAP financial measures. For such measures reconciliation to the most directly comparable GAAP measures are in the earnings release and in the appendices to Vistra Energy’s various investor presentation. I will now turn the call over to Curt Morgan to lead our discussion.
Curt Morgan: Thank you, Molly, and good morning to everyone on the call today. We appreciate your interest in Vistra Energy. Before I begin the discussion regarding 2016 performance, I do want to avail timing of this earnings call in our related financial report. We recognize we are reporting our 2016 results later than what is typical for an organization of our size. This time it was driven by recent emergence from bankruptcy and the requirement to implement fresh-start accounting for the emerged entities which some of you may know is very time consuming and detail process. We expect to report results on a more customary cadence in the future. I will try to move you to the appropriate slide as we go through this. However, I do not intend to cover everything on each of the slides and if there’s something that I don’t cover, you can ask us in the Q&A if you’re wondering about it. But I’ll move this along, and right now I’d like to move this page five. Okay. We’ll begin our discussion with 2016. It was a transformational year for us and frankly a good test for our integrated retail and wholesale model. As you may know and I’m sure do Vistra Energy predecessor emerged from bankruptcy on October 3rd of 2016 as a publicly traded entity and we are happy that we have lowest leverage position in the industry finishing 2016 with just under two times net debt to EBITDA and only 2.5 times gross debt to EBITDA. We view these low average level as a tremendous asset to our organization as we continue to evaluate various capital allocation alternatives which I’ll address it in more detail in a bit. In addition, we believe our debt levels are departure from a chronically overleveraged sector that has exacerbated its commodity price risk exposure with financial distress risk. Bill, a little bit later is also going to address our very strong full year adjusted EBITDA of $1.6 billion for 2016 which in our view is testimony to the value of the integrated model. We also had very strong cash flow depicting the company's ability to drop a significant percent of EBITDA on the cash after CapEx and servicing debt. Also in October of 2016 we implemented a support organization restructuring rightsizing our corporate overhead cost structure and eliminated more than $300 million of cost from the system. These reductions included $225 million of annual expenses delivering values directly to the organization's bottom line. Now look, it’s not lost on us as there has been a lot of discussion lately on the topic of cost-cutting and we've already implemented the preponderance of our support cost program. Following the support organization restructuring I described, we benchmark Vistra Energy’s fully burdened [ph] wholesale operations relative to peers and we believe Vistra has one of the loan if not the lowest SG&A support cost of the industry as measured on a dollar per megawatt hour basis. Similarly, we believe TXU Energy has among the lowest if not the lowest overall cost structures for retailers and we measure that on a dollar per residential customer equivalent basis. We believe the support organization restructuring is now largely complete, though we do plan to reduce our IT expenditures by another $20 million in total in 2017 and 2018 and that will be the total of $20 million not 20 per year, and we will continually look for ways to find time to fine-tune our cost structure through the use of technology and through process improvement. It is extremely important in a business that is exposed to significant commodity price risk to have very low cost and we will continue to stay very focused on that and report any changes in our cost structure over time. Outside of the support organization restructuring in the fall of 2016 we also kicked off an operational performance initiative in an effort to reduce overall plant operation expense and improve plant performance while increasing efficiency and productivity of the unit. We expect to complete this initiative in mid-2017 and will now any additional cost savings and plant improvement at that time. Moving to page six, for full year performance our retail organization, TXU Energy executed impressively in 2016 delivering $839 million in adjusted EBITDA, its highest adjusted EBITDA contribution, two contributions since 2012. TXU Energy’s performance in 2016 greatly exceeded expectations relative to the prior year results primarily due to the retail outstanding performance in attracting and retaining higher-margin customers. TXU Energy’s 2016 results reflect success of our multi-channel approach to the retail market, our innovative product offering and our sophisticated marketing approach. I’ve talked to many of you on this call before and I reiterated when I came to this company, the primary reason to be quite honest with you was because of the strong retail business that Jim Burke and others and their company have built and it continues to show its resilience and we hope we can use that platform to expand that and grow that over time. Our constant focused on improving the customer experience in the skill with which our retail operations manage hundreds of thousands customers transactions that are occurring here have resulted in an industry leading brand. Residential retail net attrition levels have fallen below 1% in the last two years as shown on slide six despite low wholesale power prices and a deeply competitive ERCOT retail electric market. Also shown on slide six is the TXU Energy EBITDA dating back to 2012. As you can see the EBITDA contribution from our retail business has been both consistent and strong during very different commodity price environment especially given the precipitous decline in wholesale prices over the period. The low point on the graph in 2014 was reflective of increased wholesale power prices in that year and TXU Energy stable pricing approach to our brand promise that maintain stable prices to our customer base. We feel that was very important during that period of time to do that to maintain that strong customer base. In fact we were able to do that. I think the more important point is during the same period with that lower retail contribution Luminant had a very strong year in 2014 and overall company generated just under $1.7 billion in EBITDA showcasing the resilience of our integrated model. Move to page seven, for 2016 Luminant finished the year delivering $764 million in adjusted EBITDA, solid performance and will continue to be a challenging wholesale market price environment, results were driven primarily by high commercial availability, both from our generation portfolio. We used commercial availability because it rates availability by the margin potential, which is what you really want. You want to know if you are available during the high margin period. We cover that with continued strong performance by our commodity risk management team. As it is shown in the chart on slide 7 Luminant’s realized prices in 2016 were nearly 80% higher than settled market prices. Contributions from our opportunistic hedging activities have driven material values to the organization year-after-year as you could see on the slide and we will continue to be important in the forecast and low wholesale market price environments in '17 and '18. Well, our wholesale power price are expected to be low over the next couple of years we continue to see reasonable levels of volatility, especially in natural gas giving us the opportunity to opportunistically hedge our wholesale length [ph] over that same time period. We actually took advantage of that already in late '16 with a run up on gas, we were able to go out and hedge using gas that allowed us to keep many of our legacy coal plant units out of seasonal ops and capture additional margin potential which was just another example of how our commercial team is able to capture value. On slide 8, we have included projected market supply demand and reserve margin forecast from the latest ERCOT’s CDR report published in December. Despite forecast the demand grows to nearly 5.5% and ERCOT was 20-21. ERCOT is estimating that the reserve margin will grow to 20% in '18 and that will stay above 19% to 20-21, primarily driven by projected supply additions over that same time period. These forecast and supply additions have same growth in both thermal and renewable resources. On the renewable front we do believe capacity from utility-scale solar projects in West Texas, together with some additional wind capacity Panhandle [ph] will come online over the next two to four years. However, we also believe increased reliance on renewable and ERCOT will be somewhat limited in near-term for a couple of reasons. First, the initial credit lines that came at a real hefty price to the State of Texas and were completed in 2014 are nearing capacity. In the Panhandle where wind conditions are the most attractive, will soon become congested if new build [ph] is not curtailed or new transmission investment is not authorized. It’s our deal and we are on the ground quite a bit in Austin and have a pretty good perspective on this that the political and regulatory climate in Texas do not currently favour investment in the second credit like [ph] infrastructure project. Second, and probably the most important is just a pure economics of renewable development will be challenged in the current low wholesale power price environment, especially if tax investor appetite begins to wane as a result of the uncertainty around potential tax reform, or if we see reduced subsidization of renewables by municipalities. We've been really active right now in this renewable side mainly to support our retail offering where we do have customers that are interested in renewables and their products and our view is without PPA's at our market price and we do not see merchant renewables being dealt. And we've seen just about every renewable project out there recently. In addition, we believe the increased renewable penetration ERCOT will heighten the value of base more players and in particular flexible natural gas fuel generation and given the need to supplement the intermittent nature of renewable generation. Outside of renewables, ERCOT continues to see announcements for the development of new natural gas fuel generation project in 2017 and beyond. Any decision to build a new thermal generation asset at ERCOT is inexplicable in our view, as any such asset will be uneconomic developed in the current market price environment. The equity of recent new builds in ERCOT is completely out of the money and for certain assets, even the debt investments are challenged. So long, its financial market players are not willing to bring discipline to their investment decisions, ERCOT could remain in an overbuild situation. Since restructuring of power markets begin in the late 1990s, I would back and try to find one of these but we are hard pressed to find a single merchant plan investment where the original equity investment owner received an adequate return and many suffered catastrophic financial distress. And in particular, if you think about in energy-only market like ERCOT, just a difficulty in being able to get an initial return on that equity investment is quite difficult. It seems to us that the primary beneficiaries of the new power plant investment that's occurred over that time period has been the equipment manufactures and developers with a quad model obtained developers on the front end and not forcing them to earn their value overtime just like equity investors. We think there needs to be a change in that model in our sector to make sure that we have a disciplined sector over time. Assuming that the irrational behavior that we just discussed in new investment doesn't continue, we should start to see tightening of the ERCOT market, particularly as older more challenged assets begin to retire in the coming years. We believe there is up to at least 9-gigawatts of coal fuel generation that might not be able to survive in this market environment, potentially including Luminant's legacy coal plants, Big Brown, Martin Lake, and Monticello. The forward reserve margins shown on the slide 8 of our investor presentation do not account for the impact of potential unit retirements. Moving to slide 9. One of our primary areas of focus in 2017 will be to address what I just talked about and we will complete our operational performance initiative and to potentially make difficult decisions around the future operations of our three coal legacy coal plants. I can't sit here and talk about the irrational behavior of investors and that also address the fact that we need to be rational as owners of power plants and we will not continue to operate assets that we believe are out of the mind, merely in the whole step we might see a market recovery and we're not going to wait for somebody else to be the first mover. If we cannot find a way to keep plants running in an economic fashion, we will make the right decisions. Another key priority for our management team aboard in 2017 is to implement our capital allocation strategy which I know is the top into much interest to you all in the broader investment community. As we think about capital allocation, there are several potential uses of cash we can evaluate, including the return of capital to our stock holders in the form of share repurchases and our dividend investments in our business in ERCOT and potential investments in the US markets including transformational transaction. Our capital allocation strategy will always include a disciplined all of the above approach. In particular, we will monitor the trading level of our stock and if we find it attractive, we will implement a stock repurchase program especially once we list on a more liquid exchange. We do not believe at this point in time a recurring dividend policy is appropriate for the company. Our evaluation says yes that our recurring dividend must be meaningful in a 3% to 4% yield level and we must be able to grow it to get recognition in the company's valuation. We are not ready to commit to that and a recurring dividend policy program right now, especially given where the current power wholesale and retail markets are in the US, and the potential opportunities available to invest at attractive valuations and enhance the value of the company. However, I would like to make it very clear, that we are looking for compelling value opportunities and we are quite comfortable returning value to our shareholders rather than squandering our balance sheet and destroying value if compelling value opportunities do not materialize. Moreover, any significant growth transaction would need to be financially similar with that and equity. We think there is a certain discipline in that, it would need to drive further efficiency through synergies and they need to be meaningful. And management would need to have a clear line of sight to return our gross debt to EBITDA to three to four time level within 12 to 18 months of any such transaction. In the very near term, we continue to work diligently toward an uplifting on the New York Stock Exchange which we hope to complete prior to mid-May and need the cause in these -- that this is subject to SEC approval, so the timing of that is a bit fluid and we don’t control it. We anticipate conducting a non-billed roadshow and advancing of the uplifting. So, please stay tuned for further calendar announcement on this front. I will now turn the conversation over to Bill Holden, our CFO to instruct our 2016 financial performance and further detail and also address 2017 guidance. Thank you.
Bill Holden: Thanks, Curt. And before turning to this financial side, I want to begin with just a brief discussion regarding the presentation of our 2016 GAAP results. As Curt mentioned at the beginning of the call, the company emerged from bankruptcy on October 3rd, 2016, and on that day Vistra Energy became a new energy for financial reporting purposes. Kind of Morgan's investor reported all of the effects of the plant and reorganization and also adopt the press style report, pursuant to which the company revalue all of the assets and liabilities on its balance sheet. As a result, the financial segments of the company for the period on and after October 3rd of last year which we refer to as the successor period are not comparable to the financial segments of the predecessor prior to that date. And given that Vistra's post emergent results are not comparable with the prior period result of the predecessor, today's discussion and our quarterly earnings discussions and releases during 2017 will not include year-over-year or quarter-over-quarter comparisons. However, we do expect to include a comparison of full-year 2017 adjusted EBITDA versus 2016 adjusted EBITDA when we report year-end results on next for '17 next year. Now, turning to slide 11. Vistra Energy delivered adjusted EBITDA in 2016 at 1.6 billion, reducing the year and the top quartile of the 2016 guidance range that we provided in December. An impressive result given the mild Texas weather that we saw in November and December last year. In addition, as we saw on slide 11, we've updated the presentation of our adjusted free cash flow guidance for 2016 to exclude the impacts of margin deposits and working capital which tend to be timing in nature. After adjusting for these timing items, Vistra Energy's 2016 adjusted free cash flow guidance range is reflected as $815 million to $880 million. The full-year 2016 adjusted free cash flow was 886 million, just above the high-end of the newly presented guidance range. The primary drivers for the improved performance or adjusted EBITDA results at the high-end of the guidance range, coupled with lower total capital expenditures in 2016. Looking forward to 2017, we also reaffirming our 2017 guidance, projecting full-year adjusted EBITDA in the range of $1.35 billion to $1.5 billion and adjusted free cash flow in the range of $745 million to $925 million. I would note that our December 2016 adjusted free cash flow guidance reflected our capital structure at November 30th of last year, which was prior to the $1 billion incremental term loan that was issued in December. The interest rate swap transactions that we executed in December and also the reprising of the just rolled exit facilities, which we completed in February of this year. We think that net impact of these capital structure modifications combined with other potential offsets are not material and that’s the required update to our initial guidance range. Moreover, we would be remiss [ph] not to acknowledge that winter was noticeably absent from Texas this year, but despite there’s lack of winter weather and the other items I just discussed we remain confident that Vistra Energy will achieve results consistent with our full-year 2017 guidance projection. Turning to slide 12, we have provided updated hedge [ph] disclosures, together with natural gas and heat rate margin sensitivities for 2017 and 2018. We recognize that one of the more difficult aspects for modelling the potential performance of our business relates to calculating the impact of movements in natural gas prices and heat rates. As a result we are providing margin sensitivities for the effect of changes in both natural gas price and heat rates, which include an offset related to our retail business. These sensitivities are shown in the charts on the bottom half of slide 12. We issued caveat there are sensitivity charts will not prove to be a perfect proxy for actual results, as the sensitivities will assume a fixed relationship between natural gas and heat rates, which really happens in real-time. In addition, the margin sensitivities assume other items that affect our results remain constant; for example, weather and unit performance. Despite these assumptions we do believe that sensitivities we provided are meaningful and useful tool and it evaluates the sensitivity of our earnings through movements in commodity market pricing. As you will expect the sensitivity ranges for 2017 are relatively narrow, reflecting the fact that we are largely head for natural gas and heat rates for the balance of this year. And last, before we open the calls for questions I would like to quickly highlight the details of our recent debt activity. As I mentioned just a minute ago in February 2017 we repriced $3.5 billion of our initial term loans B and C, the LIBOR plus 275 basis points with a 75 basis points LIBOR floor, that repricing will generate about $44 million of annualized interest rates. In addition, in the fourth quarter of last year we entered into $3 billion of interest rates swaps reducing our floating rate exposure to interest rates. As a result of these activities we expect our pro forma 2017 interest expense to be approximately $221 million. I would add to the extent the capital markets remained favourable this summer and in June we would likely look to reprice the $1 billion of incremental term loans that we received in December of last year. And with that, operator, I would now ready to open the lines up for questions.
Q - Ian Zaffino: Hi, great. Thank you very much. Good quarter. I know you guys had referred to similar cost cuts and that wasn’t clear about this. You mentioned the IT but is your other areas that you continue to cut costs or is that really the last frontier? Is there anything on the O&M side that we can look at or help us understand that a little bit? Thanks.
Bill Holden: Yeah. Good question asked and if I would know that relatively [ph] we are using lot of words here, but two things. One, I think on the – what I call support cost side of thing, which is SG&A and then we have some support O&M and is really largely the support for the generation business. We are pretty much where we need to be on that, but I do want to stress again and this is just in my nature and I think our company’s nature that we are going to continually look for ways. Technology is advancing so quickly and frankly we cut really quickly, within a month of when we emerged from bankruptcy, we cut very quickly and so we are now just following up with our underlying process improvements that go along with restructuring the organization. We might find [ph] through process improvements, but it’s not going to be large reduction. There could be some incremental improvement. With regard to the plans we are working on an what we call an operational performance improvement initiative and we are coming to conclusion on that on Oak Grove and Sandow and we also are doing some work around some of the other plants in the fleet. We do expect to have cost savings around that, but also what I would call sort of revenue net deal [ph] enhancements around improvement and plant performance, and so stay tuned on that. We are not ready to detail that yet, but we in terms of the size of that, but you should expect us to come out with some incremental improvements later in 2017.
Ian Zaffino: Okay, thanks. And then just following up also on the comment about your legacy coal facilities – can you maybe walk us through how you think about whether do you want to keep some of them open, whether you close some, what would be kind of the metrics you reduced to side, and then also what would be the timeline to do something like that.
Curt Morgan: Yeah. Another [ph] question. So, first and foremost I want to stress that any analysis we do is on the plant by plant basis and it is solely focused on the profitability on an individual plant basis and what we look at is obviously EBITDA contribution and we also look at basically cash flow from those facility. ERCOT being in energy only market with $9,000 per megawatt hour price gas sort of the – you can be lured into the idea that we will just wait around within one summer will make a bunch of money on a lot of capacity by having some plants around. And so, our analysis really is around where we think the frequency of that might be, but more important is we look at our excess link in ERCOT that is only in the money and largely in the summer months. We look at those as options. And then what we look is can we get the strike price of those options effectively the fixed costs of those plants down to a level where we feel comfortable, keeping them in the portfolio during the trough [ph] and that we can then get disproportionate returns in the energy only market during the tightening in the marketplace. And so, when we take that into accounts just what are current year now cash flows and EBITDA contribution combined with how low can we get the cost structure down to get the strike price if you will of the ongoing fixed cost nature of that to the lowest it can be. Does it have a reasonable chance given what we think that probability that we would see tightening in the market that we have a reasonable chance of making money, and I will just tell you that I think in this market right now that’s a very difficult proposition for some of our coal plants, but we are in the middle we are trying to get that strike price down as low as we can before we make that final decision, and we will probably be wrapped up on that in the middle – probably more toward the end of the summer and you should expect that we will have some decisions around our legacy coal plants that we will communicate with the market in 2017.
Ian Zaffino: Okay. Thanks. And then just one final question and I’ll let someone else hop on. When you think about – I know reaffirm 2017 guidance where you hedges locked in. As you look into 2018 I guess you probably have significant proportion locked up now on the hedging side, is there a time when you’ll give us 2018 outlook or is that really going to wait until sort of the end of 2017 to maybe get a revision in while you had in your previous presentation index. Thanks.
Bill Holden: Yeah. It will be later in the year and there is a number of reasons for that. We would like to see how the markets shake out. We would like to see how the summer comes in, because that’s going to affect. One thing that happens in ERCOT is depending on what the summer does and if you do get fortunate to see scarcity pricing it will show up in the forwards for the following summer and so we just want to – before we come out we want to see a little bit more how 2017 coming out and its impact on 2018. We also think that as we just discussed there maybe some other market activity that might change just what 2018 looks like. So, you should expect as more I would guess in the fourth quarter timeframe to come out with definitive guidance for 2018. I will just say this that if we – there is some stuff out there probably available and if we thought we were materially off on that, one way or the other we would probably feel compel [ph] especially if it was lower until compel to say something and we are not compelled to say something. So, I think we’d just leave it at that and you’ll hear more from us on 2018 as we roll through 2017.
Ian Zaffino: Okay, fantastic. Thank you very much.
Bill Holden: Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Julien Dumoulin-Smith with UBS. Your line is open.
Julien Dumoulin-Smith: Hey good morning.
Bill Holden: Hey, Julien! How are you doing?
Julien Dumoulin-Smith: Good. Thank you very much. Congratulation! I supposed first quick question on balance sheet deployment. I heard a lot of your comments about practice and also higher markets and investing in Brownfield versus Greenfield. How are you thinking now about future capital balance sheet deployment and specifically back in the wholesale power space rather than investing in say midstream or renewable or some other asset class entirely?
Bill Holden: Yeah, I think we have a slight preference where we see the markets today to invest in our sweet spot and that means in the power sector, whether that would be wholesale assets or retail. Julien, we talked before on this and I talk to many folks on this before when we were going through a period of time and kind of assessing and we still continue to think about either energy infrastructure as if relates to supports our current business, but I think if you are thinking about any kind of transformational transaction or something like that or significant move somewhere outside ERCOT, I think we would probably be leading more from power sector standpoint than we would in some other type of infrastructure. So, I think that’s kind of where our head and that’s just because where evaluations in the sector have gone, both for assets and for companies and we are just going to take a look at that and be opportunistic. I will reiterate and we said this over and over again and words are cheap, but we are going to have to find what we think are very compelling opportunities with significant value to proposition for us to really expose our balance sheet and this is tough sector, especially if you step outside our comfort zone of ERCOT. I have been in these other markets and that is good thing and also though a little bit of an overhang for us, because I have a pretty good memory of what it takes and you guys know this. I mean, just think about what’s going in these other markets with [Indiscernible]. A lot of people have their fingers in the pie in this particular sector. So, it’s a tough one. So, if you are going to win in it you got to be able to buy something that you think is a compelling value proposition and feel confident [ph]. You have control over how you get that value proposition and so that’s where we are kind of where we are thinking about things as we speak.
Julien Dumoulin-Smith: And what about retail – you kind of alluded to it there. I mean, what about retail outside of your core physical footprint as it stands. Does that something that would be [Indiscernible]? I know you guys have been historically very focused on that Texas market with TXU Energy brand, but you branch out with new brands into the northeast for instance?
Bill Holden: Yeah. I think it is unlikely to see us – I should say any kind of transformational deal as we can get anything and we talk about it a lot, but we would want it to be in integrated fashion. We want two things. One, existing retail and two, we want to know that we could use it as a platform to expand our integrated model. It is highly unlikely that we are going to go buy a couple of generation assets to standalone and then look to build organically a retail business outside our ERCOT or buy a retail business. It’s also equally unlikely that we are going to go out and buy a lead with the retail business and fill again [ph] with generation. Those are just unlikely things when you think about how we see the world. We still think that we could actually add to our business here and we know that well, we’ve got scale economies in our retail business and certainly a very good approach to the market. We just don’t know that this is the right time to do that, but we were constantly in this market. I would tell you that the deal flow that goes on in ERCOT we are just front and centre [ph] on this. Everybody knows what our balance sheet looks like. Everybody knows kind of what we are interested in, so there is very little going on in ERCOT that we don’t get a look at and so I would say, we are going to do retail right now on the standalone only basis. You could put pretty much bet on it would be in ERCOT deal.
Julien Dumoulin-Smith: Excellent! Thank you gentlemen!
Curt Morgan: Hey, thanks John.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Curt Morgan: Okay. Well, thank you everybody for your interest in our company and we look forward to many future calls going forward. As I said at the beginning of the call, we do appreciate your interest in Vistra and we look forward to talking to you in the weeks and months ahead and we are going to stay tune for what we call non-deal road show coming up and our listing on the New York Stock Exchange. We are excited about it and as always if you have any further questions, you know how to get hold of Molly. So, thank you.
Operator: This concludes today’s conference call. You may now disconnect.